Thomas McMillan: Good morning. My name is Tom McMillan, Investor Relations Advisor for Black Diamond. At this time, I would like to welcome participants to Black Diamond's fourth quarter and yearend 2015 results conference call with President, Chairman and Chief Executive Officer, Trevor Haynes; and Executive Vice President and Chief Financial Officer, Toby Labrie. We are also joined today by our CFO [indiscernible] Mike Lambert; Executive Vice President and Chief Operating Officer, Troy Cleland; and Executive Vice President International, Harry Klukas. After our formal remarks, there will be a question-and-answer session. At this time, all lines are placed on mute to prevent any background noise. Please note that while talking about our results and answering questions, we may make forward-looking statements. These statements are subject to known and unknown risks, and future results may differ materially. We will also be discussing non-GAAP financial measures in today's call including adjusted EBITDA, net debt, days sales outstanding, funds available for dividends and payout ratio. For more information about these topics, please review the sections of Black Diamond's fourth quarter and yearend 2015 Managements Discussion & Analysis, entitled Forward-Looking Statements, Risks and Uncertainties and Non-GAAP Financial Measures. This quarter's MD&A, news release and yearend audited financial statements can be found on our website at www.blackdiamondgroup.com, as well as the SEDAR website. Dollar amounts discussed in today's call are expressed in Canadian dollars, and are generally rounded. I'll now turn the call over to Trevor Haynes to review the quarter. Trevor?
Trevor Haynes: Thank you, Tom. I'd like to first talk about the planned CFO transition, which we announced this morning. When we hired Mike Lambert, as CFO, it was with the understanding that he would retire in three to five years, with the likely potential that Toby Labrie would succeed. I'll let Mike talk about what led to our announcement this morning. Mike?
Michael Lambert: Thanks, Trevor. My health issues are by no means life threatening, if I don't take them seriously and make some necessary changes to my lifestyle, they could be. When I became aware of my health issues in 2014, I approached Trevor, and it was decided at that point to accelerate Toby's succession into the CFO role. Through 2015 Toby consistently demonstrated his readiness for the role, and we believe the timing is right for his transition. As for me, I'm looking forward to retirement, where my focus will be on a healthy lifestyle. Trevor?
Trevor Haynes: Thanks, Mike. You've been instrumental in helping guide the company through the toughest market conditions we've experienced yet. On behalf of us all, I would like to thank you for your valued contributions and wish you all the best in your retirement. I am pleased to announce the appointment of Toby Labrie to the role of Executive Vice President and Chief Financial Officer. Toby has served in a senior finance and accounting capacity for eight years with Black Diamond. His professional knowledge, personal commitment and leadership qualities have made him a valued and trusted member of the executive team and a natural successor to Mike. I'll now talk about the quarter. Despite the challenging business environment, we made significant progress in the fourth quarter on paying down debt and positioning Black Diamond to continue to succeed, even in the current environment. Year-over-year, we've reduced our debt by $37.2 million, ending 2015 with $159 million in long-term debt compared with $196 million in the previous year. Our net debt was $153 million at the end of 2015. We also realized a 23% decrease in administrative expenses in the fourth quarter compared with the year before, as our cost containment and repositioning efforts began to bear fruit. We reduce capital expenditures in the quarter by 97% down to $1.5 million in the fourth quarter of 2014. Ongoing maintenance capital requirements for our assets is minimal, given their young age and by the nature of the of the asset type. We ended 2015 with net debt to adjusted EBITDA of 1.73, a decrease from 1.82 in the third quarter of 2015. By strengthening our balance sheet, we have positioned Black Diamond for sustainability and to capture additional market share in the current environment. We continually adjust our commercial strategy to market conditions. Our focus in 2016 will be utilizing existing fleet assets by being more aggressive with our rental rate, and in some cases strategically positioning assets in geographies and focus on new markets that are more likely to generate additional revenue. This strategy combined with the minimum maintenance capital required for our assets will allow us to reduce our 2016 capital plan $10 million from the previously announced $25 million, while not limiting sequential revenue growth potential. $2.7 million was committed as at December 31, 2015, and we do not expect first quarter capital spending to exceed that amount. I will now turn the call over to Toby for the consolidated financial review. Toby?
Toby Labrie: Thanks, Trevor. In this slide, I'll review our consolidated financial results for the fourth quarter of 2015 compared with the fourth quarter of 2014. Revenue was down 41% year-over-year, due to a decrease in utilization, a reduction in the average beds under management and logistics and lower rates across our Western Canadian operations, all of which was a result of the current pricing environment for crude oil and natural gas. Our response to deteriorating market conditions in early 2015 led to a 23% decrease in administrative expenses in the fourth quarter and a 10% decrease for the year. The $3.3 million in savings we realized in the quarter was primarily related to headcount reductions and other cost containment initiatives enacted throughout 2015. Ignoring non-cash items, our administrative expenses were slightly less than $10 million for the quarter. A more recent cost control initiative, effective February 1, 2016, was the implementation of a graduated salary rollback, averaging a reduction of approximately 10%. 43% year-over-year decrease in EBITDA reflects the 41% year-over-year reduction in revenue, offset by the 23% decrease in administrative expenses. Due to a lack of visibility on commodity pricing, many of our energy customers currently prefer shorter-term or month-to-month arrangements for renewals. As a result, contracted future revenues declined by 37% year-over-year to $81.8 million. These month-to-month arrangements are not captured in our contracted future revenue metrics. This next slide compares the performance of our business units in the fourth quarter of 2015 with the fourth quarter of 2014. Similar to last quarter, EBITDA declined year-over-year across all of our Western Canadian operations due to the ongoing deterioration in energy prices. In Structures, EBITDA decreased by $6.9 million year-over-year due to a 19% drop in utilization of accommodation assets and a 19% decrease in the blended rental rate for Structures. Logistics EBITDA decreased by $6.8 million year-over-year due to a 13% decrease in beds under management, and a 31% decrease in the blended lodging rate. The decrease in rate is due to concessions tied to previously announced contract extensions as well as a significant year-over-year decrease in break fees. Lodging revenue was lower than expected in the quarter due to lower occupancy levels in early Q4. Given customer commitments in place, this revenue is expected to be realized in the first quarter of 2016. Energy Services EBITDA decreased by $1.8 million year-over-year due to a decrease in utilization rates related to the downturn in drilling and completions activity, and a decline in rental rates as a result of the ongoing pricing pressure in Western Canada. International results were also lower year-over-year due to continued headwinds in Australia's resource sector. Corporate cost, which excludes administrative costs in the business units were down $3.6 million due to headcount reductions, efficiency, and cost containment initiatives enacted throughout 2015. I will now review the key financial metrics on the next slide. We recorded a net loss for the quarter of $7.8 million compared with a net loss of $3.6 million in the year before. This reflects lower EBITDA, partially offset by a $2.9 million decrease in non-cash charges compared with last year. The $5.3 million in non-cash charges we recorded in the fourth quarter of 2015 includes: $1.4 million for the impairment of goodwill in Energy Services, $1.2 million for the write-down of redundant surface rental assets in Energy Services, and a $2.7 million write-down for the company's securities held in Northern Frontier Corp. Payout ratio was 43% for the quarter and the year. The full impact on cash outflows of the dividend reduction announced in November will be fully realized until the first quarter of 2016. Now, I'll turn the call back over to Trevor. Trevor?
Trevor Haynes: Thanks, Toby. The purpose of this slide, that we have up right now, is to show how we have adjusted our calls on cash to bid with the current business environment. Please note that this slide does not take into account changes in working capital. At the beginning of 2015, we still had significant capital commitments related to long-term rental contracts. With those obligations substantially met by the end of the third quarter, and given the minimum ongoing maintenance capital requirements for this business, we were able to significantly reduce capital spending in that quarter. We exited 2015 with $2.7 million in capital commitments, which is all we anticipate spending in the first quarter of 2016. In addition, we have reduced our 2016 capital program to $10 million in total. We've reduced our dividend in the fourth quarter to $0.05 per share per month from $0.08, which equates to a total monthly cash outflow of $2.1 million or $6.3 million per quarter. Our focus through 2016 is to get the unutilized portion of our existing rental fleet to work and generating cash flow. This would not require any significant capital investment. While I acknowledge the tough economic environment we are in, that said, it has made us more focused and efficient than we were a year ago. We have some tremendous positives, an industry-leading safety record, a brand associated with quality service, a strong management, commercial and back-office team with a deep bench and highly-experienced professionals. We continue to have an active sales pipeline. We are focusing on areas with activity for placing new lodges. We are focused on winning market share. We continue to expand the platform in the new geographies that we are pursuing and in additional product lines. Black Diamond's business platform continues to generate positive cash flow from it's roughly $500 million fleet of diverse, specialty rental assets. We will continue to position Black Diamond for sustainability and to capture additional market share from competitors in the current environment. Operator, we are now ready for the Q&A session.
Operator: [Operator Instructions] There are no questions registered at this time. I would like to turn the meeting back over to Mr. Haynes. End of Q&A
Trevor Haynes: Thank you for participating in our fourth quarter conference call and webcast today. We believe that Black Diamond's strong balance sheet and management experience continue to set us apart from our competitors. We are actively pursuing market opportunities, and our modern rental fleets provides us with tremendous operating leverage for when our end markets improve. We look forward to speaking with you on our next conference call. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And thank you for your participation.